Operator: Good day, everyone, and welcome to today's BrightView Earnings call. [Operator Instructions] Please note, this call may be recorded. I will be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Mr. Chris Stoczko, Vice President of Finance and Investor Relations. Please go ahead, sir.
Chris Stoczko: Good morning, and thank you for joining BrightView's First Quarter Fiscal 2026 Earnings Call. Dale Asplund, BrightView's President and Chief Executive Officer; and Brett Urban, Chief Financial Officer, are on the call. I'll now refer you to Slide 2 of the presentation, which can also be found on our website and contains our safe harbor disclaimer. Our presentation includes forward-looking statements subject to risks and uncertainties. In addition, during the call, we will refer to certain non-GAAP financial measures. Please see our press release and 8-K issued yesterday for a reconciliation of these measures. With that, I'll now turn the call over to Dale.
Dale Asplund: Thank you, Chris, and good morning, everyone. We had a strong start to 2026, as we grew total revenue 3% and delivered improvements in EBITDA while accelerating investments in our sales force, adding 80 incremental sellers in the quarter. While the needs of our customers vary geographically during the quarter based on weather, our focus on our frontline employees and delivering reliable service to our customer drove another sequential quarter of improvement in employee turnover and customer retention. Our intense focus on accelerating investments in our sales force, coupled with stronger customer retention, drove improvements in our underlying Land Contract book of business, one of the leading indicators of future revenue growth. More on this in a few minutes. Our accelerated investment in the sales force is proving effective, and we remain on track to deliver on our 2026 guidance, which represents a return to land growth in the third consecutive year of record adjusted EBITDA, as we continue to transform our business and deliver value for shareholders. We are well positioned to execute against our objectives. This quarter's progress reinforces my confidence in achieving our 2026 guidance, and our continued investment across the business positions us to deliver sustainable, profitable topline growth in both the near and long term. We have strengthened the foundation of the business, making significant strides in leveraging our size and scale, unlocking efficiencies and improving profitability over the past 2 years. Now, as we move forward, we will continue to cultivate a world-class sales organization to drive new sales to position BrightView as the investment of choice. With that, let's move to Slide 5, where we continue to see sequential improvement in our frontline turnover. Since day 1, my focus has been prioritizing our frontline crew members. And with ongoing investments, we continue our journey toward becoming the employer of choice. We have seen a considerable decline in turnover with approximately 30% improvement in just 2 short years. As an example of our continued commitment to our frontline, this quarter, we implemented advance pay, allowing our employees to access a portion of their earned wages ahead of the typical pay cycle, providing them with financial stability and flexibility. Our goal of becoming the industry's employer of choice has driven material cost savings that we've reinvested back into our frontline, and our continued improvement in employee turnover has created a more reliable workforce with consistent service levels for our customers. Turning to Slide 6. I'd like to highlight the impact that consistent service levels continue to have on retaining our customers. After reaching a low of approximately 79% in 2023, customer retention has improved by approximately 450 basis points as of Q1 2026, driven by initiatives focused on delivering consistent service levels to our customers, prioritizing our frontline employees and investing record level of capital to refresh our fleet. This is a true reflection of the exceptional service our employees deliver each day. Turning to Slide 7. We've also made significant progress across our branch network in driving retention improvements, in both the top and bottom quartiles. We have seen sequential improvement resulting in a 10% shift in both quartiles. While we are pleased with these results, we remain encouraged with the opportunities that still lie ahead. Our commitment to high-quality customer service has yielded significant improvement in customer retention. And, as we know, the longer a customer stays with us, the stronger relationship we build and ultimately results in us being able to provide a full suite of services over many years. The sequential improvement we have seen in this metric is a key contributor to now 3 consecutive quarters of positive net new sales in our Land Contract business, which I'll touch on in more details in a few moments. Turning to Slide 8. I'd like to update you on the rapid progress we've made in strengthening our sales force. During Investor Day, we outlined plans to expand our sales organization by 50%, representing approximately 500 net new hires by 2030. In the second half of fiscal 2025, we added approximately 100 new sellers, followed by about 80 additions in the first quarter of fiscal 2026, which is an increase of approximately 20% since the beginning of 2025. We are pacing ahead of our initial expectations, as this represents more than 1/3 of our progress toward the 2030 target. There are 2 categories of sellers, as shown in the bottom left, new business sellers focused on acquiring new customers and capturing a larger share of the total addressable market, while our customer-facing support team manages existing relationships and drives ancillary sales on top of contracted services. As new business sellers ramp their productivity and add new contracts, our customer-facing support team will further expand ancillary sales, helping to drive overall growth. Hiring is pacing ahead of our original expectations, and we plan to continue to ramp our sales organization through 2026. Expanding our sales force is critical to driving growth. And with structured training and enhanced technology tools in place, we are encouraged by the early momentum we are seeing in new sales. Turning to Slide 9. Now, I'd like to build on the topic of new sales and talk about a metric that's critical to Land Maintenance growth. This chart shows the improvement we made in our Land Contract book from Q2 2025, underpinned by a sequential improvement in our net new sales, a metric that factors in both customer retention and new sales. Ultimately, a growing contract book is an indicator of future Land Contract revenue growth. In my first year, we have realigned the sales and ops structure and changed the incentive plan to reward sellers for driving profitable new sales. This resulted in our branch managers and sellers working in tandem to align on new sales and equip them with the appropriate go-to-market tools. As we solidify the foundation of our business through reductions in employee turnover and improvements in customer retention, we began ramping the sales force in the back half of 2025. Since then, we have increased our sales force by approximately 180, or approximately 20%, and continue to see sequential improvements in customer retention, 2 key metrics needed to drive growth in our Land business. In Q3 2025, the momentum drove positive net new results, and we have seen 3 consecutive quarters of increased net new contract sales and growth in our Land Contract book of business of approximately 2%. This sustained momentum in improving customer retention and new sales growth gives me confidence that we will return to sustainable topline growth in the back half of fiscal 2026. Moving now to Slide 10. I want to remind everyone of the progress we've made in solidifying the foundation of our business and our focus for 2026 and beyond. In my first 2 years, my focus was on investing in and prioritizing our frontline employees, delivering consistent and reliable service to our customers and unlocking our size and scale as the industry's largest commercial landscaper. This has resulted in sequential improvement in employee turnover, customer retention and margin expansion, all key catalysts to help solidify the foundation of our business. Going forward, we will continue delivering in these key areas while also focusing on driving profitable topline growth in 2026 and beyond. As I mentioned a few moments ago, accelerating investments in our sales force will allow us to capture a greater share of the market. Through new sales and a sustained commitment to quality service, we expect sustained growth in our contract book, allowing our customer-facing support teams to layer in additional ancillary sales. By continuing to solidify the foundation of our business and by making strategic investments in our sales organizations, we are well positioned to accelerate contract growth and deliver sustainable, profitable topline growth. Before I turn it over to Brett, I want to express my appreciation to our more than 18,000 employees for their unwavering commitment to delivering consistent service and strengthening BrightView's position as the provider of choice. A recent example of this, although not an impact to the first quarter, was the team's readiness during the recent winter storms to safely and reliably service our customers. It is events like these that set us apart from other landscapers in the nation. Our ability to provide dependable service to our key customers was highlighted over the past few weeks. Once again, thank you to all our employees for putting the customer at the center of everything we do. With that, I will now turn it over to Brett.
Brett Urban: Thank you, Dale, and good morning, everyone. 2026 is off to a strong start with our financial results positioning us to deliver on our guidance, which implies Land revenue returning to growth and delivering a third consecutive year of record adjusted EBITDA. The strategic decisions we have made over the past 2 years to invest in our employees and customers has paid significant dividends, as you can see in our employee turnover and customer retention metrics. And now, our strategy to add to our sales force is already showing positive signs in our selling performance. I am continually encouraged by the momentum we are building in the business to deliver long-term profitable growth. Let's turn to Slide 12 to discuss our results in the quarter. Total revenue for the first quarter was $615 million, which is a 3% increase, driven by heightened snowfall and continued improvement in underlying land metrics. Snow was a major benefit in the quarter, increasing 110% from the prior year, as we saw higher-than-average snowfall in the Mid-Atlantic, Northeast and Midwest geographies. Maintenance land revenue was impacted by weather-related factors, including the year-over-year step over from the 2 named hurricanes in prior year Q1 and increased snowfall this quarter, which limited our ability to perform core land maintenance. However, as Dale just mentioned, we're highly encouraged by the trends we're seeing in employee turnover and customer retention, and now, net new positive contract sales, which is the catalyst for land growth in the back half of 2026. In the Development segment, revenue decreased 7%, driven by timing and mix of projects. I want to be clear that the headwinds we experienced were timing related as we saw this impact start late in 2025 and should not be viewed as lost revenue over the long term. Turning now to profitability on Slide 13. We delivered another quarter of adjusted EBITDA growth, as we continue to transform our business. Higher revenue was a benefit to flow-through, as we are continuing to see advantages of refreshing our fleet, unlocking purchasing power through procurement and realizing efficiencies across the business to drive G&A savings. These benefits were partially offset by accelerated investments in our sales force, as our revenue-generating resources are up 180 employees or 20% over last year. This investment underpins the next leg of our sustainable growth journey. Now, let's move to Slide 14 to discuss our strategic capital allocations focused on driving long-term shareholder value. Our strong balance sheet highlights this strategy, supported by ample liquidity and a favorable debt structure with no long-term maturities until 2029. We continue to accelerate our fleet strategy in 2026, which saw a significant improvement to the average age of our core mowers and production vehicles in 2025. And now on to refreshing our fleet of trailers, this refresh has provided not only P&L benefits in the form of lower rental and repair and maintenance expense, but also intangible benefits through higher employee morale and customer satisfaction, which are major contributors to the improvement we've seen in frontline turnover and customer retention. Additionally, at the start of 2026, we increased our share repurchase authorization from $100 million to $150 million, as we believe our current valuation does not fully reflect our earnings potential. This increase resulted in $14 million in share repurchases in Q1, essentially doubling the quarterly average from 2025, as we continue to see our shares as significantly undervalued. While we currently view our fleet refresh and share repurchases as an efficient use of capital, we remain poised to return to M&A when the time is right, and we've developed a robust pipeline focused on service line density and market expansion. Moving to Slide 15. We felt confident by the first quarter results and underlying trends we are seeing in the business, and we are reiterating our 2026 revenue, EBITDA and free cash flow guidance. This represents the third consecutive year of record-breaking EBITDA, continued margin expansion and a return to Land revenue growth. Additionally, our free cash flow guidance, coupled with ample liquidity, provides significant financial flexibility to continue to reinvest in the business. Before turning the call back over to Dale, I want to reiterate my conviction in the trajectory of BrightView and our ultimate goal, delivering sustainable, profitable topline growth while creating meaningful shareholder value. The investments we've made into our business have paid dividends, as evidenced in our employee turnover and customer retention. And now, we expect our investments into our sales force to do the same. With that, I'll turn the call back to Dale.
Dale Asplund: Thanks, Brett. Before we turn to questions, I want to reinforce a core belief that our people are the foundation of our progress. By investing in our employees and building an employer of choice culture, our intense focus on delivering best-in-class service is at the forefront of everything we do. Now, as we continue to ramp our sales organization, we are excited about the contributions the new 180 sellers are going to make. This, combined with leveraging our size and scale and strategically allocating capital, I'm confident in our ability to achieve sustainable topline growth and position the company to deliver long-term shareholder value. With that, operator, you can open the call for questions.
Operator: [Operator Instructions] We'll go first this morning to Bob Labick of CJS Securities.
Bob Labick: Congratulations on a great start to the year. Yes, I wanted to go back to the sales force investment, obviously. You mentioned you're ahead of pace. Does this mean you're going to pause? Or do you keep your foot on the accelerator? What's the target for the year? And what's the impact on the P&L? I guess, finally, like how long does it take until new salespeople break even and add to the top and bottom line?
Dale Asplund: Yes. Great question, Bob, because we're proud of the progress we've made. First, we're going to start off by saying we join you today from our team -- with our team down in Homestead, Florida location. So we're seeing weather all over, and our teams continue to embrace the need for more employees to communicate with our customers. You saw in the quarter, Bob, we added 80 FTEs to support our growth levers. We are not going to slow down. We are seeing benefit. It's building our contract book, and we can talk through the effect it had on revenue in the quarter, as we saw outpaced snow across the country. But everything we've seen from the transition of moving our sales force to work directly with our branch managers is working. Now, it's about making sure as our branch managers request additional go-to-market resources, we're supporting them and continuing to give them people to help us grow this business. The 80 people we added in the quarter on top of the 100 people that we brought in last year, we are going to keep going. Originally, we said we were looking to add another 100 this year on our goal to adding 500 before 2030. We're well ahead of schedule. We're at 80 as of the end of the year. I want to keep promoting to add resources across the whole network. So I feel great about the momentum. It is our future to grow this business. We've done so much to improve the foundation. Now, it's about adding resources. So we're not going to stop at the 100. If there's opportunity and the branches can absorb them, can go get more market share, I'm going to keep giving them those investments to help them grow their business. Brett, do you want to add anything?
Brett Urban: No. Bob, I would just say we're excited by it. We've made significant progress in a short period of time to ramp up our sales force. And you go back a little bit over 2 years, when Dale started as CEO, it was all about fixing the foundation, making sure we take care of our employees who in turn take care of our customers. And you look at that strategy now 2 years later, and that's paying huge dividends. Employee turnover is down significantly, over 30%, and customer retention is up significantly. Now, the next leg of our journey is to make sure we can support our branches by getting customer-facing sellers out into the markets. And we're going to do that as quickly as possible. So I'd say, yes, it was higher than expected, but we couldn't be more excited about the progress we're making with adding those sellers to the business.
Bob Labick: Okay. Yes, that's great. And, yes, you've done a remarkable job over the last 2-plus years in building the foundation for growth. And obviously, sales force acceleration is part of it right now. You mentioned a few other things. What are the remaining steps to building this core foundation to get the flywheel fully running? And how much longer do you think that part will take until you have the foundation where you want it and you start to see the acceleration in top line?
Dale Asplund: Yes. Great add-on, Bob. I think we made great improvements in taking care of our existing customer base. As I said in my prepared remarks, when I joined the company, our customer retention on an annual basis was running at 79%. It is very hard to grow a business when you're losing 21% of your customer base each year. I'm proud of the progress we made. And as we put in the deck, we're up 450 basis points over the last 27 months. So great progress. But what is the most beneficial? I'm so optimistic because we still have ample opportunity. As we put in the deck on Slide 7, you can see we've shifted from 20% of our branches being below 70% customer retention and only 20% being above 90% to just 24 months later, we're at 30% above 90% and 10% below 70%. Now, I'm not going to be happy until none of our branches are below 80% customer retention because that's our path to growth. We cannot lose our existing customer base. There's always reasons we might lose a few, but at the end of the day, we've got to make sure the service we provide our customers each and every day and support our employees that provide that service, make sure our customers recognize the value that we're trying to add to their businesses each day. So we're going to keep going, Bob. That retention is a critical number. We're going to invest in new sales, but we've got to keep chasing that retention number. We're at 83.5%, as we put in the deck. 85% is the next stop on our journey, I hope. Then, I'm not going to stop until I can say one day, we're keeping 90-plus percent of our business. But Brett, do you want to add anything?
Brett Urban: I'll just add a little context. Obviously, you could tell the excitement in our voices over here. It starts with taking care of our employees, as Dale said, will take care of our end customers. We've improved that customer retention metric significantly. We've improved our fleet and our go-to-market significantly, just the look and brand of BrightView. And if you look at Page 9 of the deck, the strategy is starting to pay dividends. We continue to share more metrics on the business to give confidence of our ability to grow this in the back half of this year. And if you look at Page 9 of the deck, it's a new metric we're sharing, which is our Land Contract values that we have on the books at any given point in time. It's the annualized amount of these contracts. And if you look over the last 3 quarters, a big piece of this 2% growth in our contract book is coming from that customer retention, but we're now also starting to see those sellers we added back in the last June quarter, right, producing some incremental positive wins in the business and adding to that Land growth. So we couldn't be more excited about the strategy actually paying dividends into the KPIs. And if you look at Page 9, this is the leading indicator that would predict growth in the back half of the year once we get into our busy season.
Operator: We'll go next now to Tim Mulrooney of William Blair.
Timothy Mulrooney: So Maintenance Land, let's just start there. Yes, your Maintenance Land business was down a little more than 2% in the first quarter, but you maintained your guide for 1% to 2% growth for the full year. That implies about 2.5% growth for the remaining 3 quarters. And I know January is off to a snowy start, so if there's disruption in the second quarter here, then it looks like a lot of that growth in Maintenance Land is going to have to come from those last 2 quarters of the fiscal year. Can you just help us understand where you expect that growth to come from? Help bridge that gap for us.
Dale Asplund: Yes. Great question, Tim, because I think it's worth taking a look at the quarter and digesting it for a minute. As everybody saw, and we said in our prepared remarks, snow was very, very high in the quarter, almost a record level for the quarter, being up $36 million. So it's great. We were able to take care of our customers in the market that they needed. If you look at our Land, we shrunk Land $8.9 million, Tim. So let me break apart that $8.9 million. First, we stepped over 2 named storms last year from 2 hurricanes that hit our southern markets, Milton and Helene. That was roughly $3.5 million. And then, $6 million of that other shrink is directly attributed to the markets that saw that outsized snow. So if you think of $6 million that comes out of our Land business that we can't put into the ground with ancillary work, that will position us to roughly flat if we didn't step over the storm and we didn't have the outpaced snow. So we feel great, Tim. We feel like the business would have been flat, as we enter the winter season, and the business is going to be poised to grow, whether it's 2% or 3% as we go across our 2 busiest quarters come April and go through the summer. So we are very optimistic that what you see on a headline for shrinking land, when you really break it down, it was impacted by the amount of snow that we had in those markets. And people saw we've had a very busy snow January based on everything in the news. But we're going to continue to take care of our customers each and every day based on what services they need. And I will tell you, I have seen more positive comments from customers the last 2 weeks than I've seen in many months. They're all reaching out to realize anybody can talk about doing snow services in July, but only true people that invest in the people and the equipment are able to deliver the service when we have as much snow as we've seen over the last several weeks. So we're in a great position, Tim. We are not -- we didn't change our guide. Despite what we're seeing on snow, we are very confident that we will achieve that 1% to 2% Land growth very easily. So we are positioned very well. But Brett, do you want to add anything?
Brett Urban: No, I agree with Dale. January is off to a bit of a snowy start. We still have 2 heavy snow months in front of us, in February and March, which are still part of our total snow season. So we'll see how the quarter finishes out here. It is quite cold across most of the U.S. still. So we have optimism there. But as Dale said, look, if the $6 million that we were impacted by snow in Q1, even if we see a little bit of impact in Q2, given some more snowy weather, you'd have to grow the back half of the year north of 2%, like you said, Tim. And we feel ultra confident, especially looking at the contract book growth that we show on Page 9. That is the key, right? That is the number of customers we have, the value of contracts we have, that annuity businesses within our Land business that gives us that confidence to be at that 2% plus growth in the back half of the year. And we'll update as we get through Q2. When we do finish the snow season, we get through February and March, we'll provide a full update on the guide as we enter into Q3.
Timothy Mulrooney: All right. That's helpful color, Brett and Dale. Brett, maybe you and I can nerd out on that contract book number that you just highlighted for a second because up 2% does look promising. But honestly, we don't have much to compare this metric to. Can you help us understand what this metric looked like this time last year?
Brett Urban: Yes. Absolutely. Well, look, last year, we were still fixing the foundation and making sure we took care of our employees and took care of our customers. So if you go back a year, this is a new metric, we haven't shared it, but you wouldn't see an increase in this metric, right? We were working through kind of some things in the past and getting to a point where we're really significantly improving that customer retention. And now, like I mentioned before, with the sales force adds that we did 9 months ago, we're starting to see those sellers be productive. And we know it takes -- the first year to 6 months of a new seller, they're semi-productive, but not nearly fully ramped up. In that 6- to 12-month tenure range, they start to get ramped up and become productive and really start to sell. And then 12-plus months on, they would become fully productive. So that's why we're so excited about the adds we've made in Q1 to the sales force because that will pay dividends really later this year and really more importantly into '27 in the future. So we are investing in future growth. But going back to Page 9, just to give you a little more detail, if you look at our Land business, we do about $1.7 billion in Land revenue. I'm just going to round some numbers here, $1.7 billion in Land revenue. We've said publicly 2/3 of that is our contract business and roughly 1/3 of that is our ancillary business. So, rough math here, 2/3 of our $1.7 billion would say we have $1.150 billion of contract value on the books. So if you go back, Tim, a year ago, that number would have been less because obviously, the business hasn't been growing. But if you look at the last 3 sequential quarters now with the business growing, that contract value growing, 2% increase on, call it, $1.15 billion, roughly $22 million, $23 million. So that's what gives us the confidence, as we get into the busy season, right? 2/3 of our Land revenue happened between April and September, those last 6 months of the year. So this is definitely a leading indicator to what's going to come to the P&L in the back half of the year.
Operator: We'll go next now to Greg Palm of Craig-Hallum.
Greg Palm: I wanted to maybe hit on the weather stuff a little bit more just given some of the recent events. So can you talk about kind of what you've seen quarter-to-date in terms of impacts, both positive and negative? And I guess, as I'm thinking about it, just given this elevated amount of snow in certain markets, are you using that as a way to maybe onboard new customers that you can maybe convert to annual Land Maintenance contracts as well?
Dale Asplund: Yes. Great question, Greg. Let me start off, and then, Brett can add. So I think, as everybody saw in our release, snow was very, very positive in the first quarter. In fact, we had a lot of questions I know on people asking, why didn't we think about increasing our expectations for snow from the $190 million to $220 million of our initial guide. But like I've said, since I've been in seat, we're only going to deliver good news on snow. Let me give you a little bit of additional data. So January has been a very strong month with storms going from anywhere in Texas all the way out through the Northeast. And this past weekend, we saw some pretty good weather down in the Carolinas and Virginia, so -- but if you look at our typical Q2, let me just give you a statistic, February and March combined in the past has been anywhere from $60 million combined in snow revenue to $160 million combined in snow revenue. So while it's still early, and we are optimistic about where we're going to finish snow, we'll give everybody that upside once we get through Q2. If I just did some quick math, Greg, and this is what we told a lot of our investors, if we did quick basic math, we did $173 million of revenue last year in Q2. We did $68.4 million this year. So you can assume that we're probably going to pace if we don't see any major warming happening. On the snow side, we're probably going to pace ahead of the top end of our range. But we'll update everybody come the end of Q2 once we get full visibility. And then, we'll decide how much of that benefit that we see from snow once we hit the end of Q2, we can reinvest back into the business. So, we feel great about it, Greg. It's only going to be upside for us wherever we land the plane with snow. And we just don't think it's going to create a long-term headwind that our summer months, where we get 2/3 of our Land revenue, we won't be able to outrun to get the growth that we promised for land.
Brett Urban: Yes. I'd just add to it, Greg. Look, Dale said it several times here in the last probably month or so. Any competitor and/or landscaper can say they can do snow in July. But when the flakes start flying and snow is hitting the ground, we've actually seen that be quite different. And we've had customers in our markets, especially the southeastern part of the United States in Texas through Georgia, the Carolinas, come to us and say, "Hey, guys, we need help. Can you guys help us in snow"? And we've had a lot of customer outreach to the point of your second question of, is this going to lead to new customer acquisition? Yes, potentially. We're taking care of our customers first. We want to make sure the customers who have us for both land and snow and signed us up early in the season, that we're taking care of those customers first. But where we can and we have capacity, we're starting to pick up additional customers for snow, and now, having conversations with them about picking up their land contract, right? So if they're seeing some struggles from their incumbent landscaper on snow, they'll probably see the same struggles when it comes to landscaping. So that's creating an opportunity for us in the future to create more customer acquisition.
Dale Asplund: Greg, let me add a little more color. And remember, this is a tough metric because the way that we price snow is obviously either with time and materials and you don't know how much snow you're going to get or we had tiered pricing for our fixed contracts. My team, who's been working so hard through the first 4 months of the year, gave me some high-level numbers, and these are just high level. I would say they feel like we believe we're going to get somewhere around 5 incremental annual -- $5 million of incremental annual contract value in snow based on customers coming to us to support their business. And they're thinking there could be about the same amount, Greg, in emergency needs for us to go out and service customers because their existing provider failed. Now, those all depend on the amount of volume we get in snow. But I will tell you, for us, that just shows the strength of people coming to us, asking us to do incremental services. So it comes down to making sure our team is prepared. Our team has the materials, our team has the equipment and our team is ready to do the work to take care of our customers. And we've seen that year-to-date. So we feel great that this is going to drive eventually more Land business because like I started off, anybody can talk about doing snow in July. But when you're getting 18 inches and you've got to have a parking lot clear, 24/7, you've got to have the equipment and people to make sure that you can service that property. So that's some more detail for you, Greg.
Greg Palm: You answered 2 of my follow-up questions without doing, so I will -- I guess, I'll just pivot to something, maybe a little bit different, thinking back, I don't know, 6, 9 months ago about just sort of the overall discretionary spend environment. I know it's a tougher question in some of these seasonal markets like we're talking about. But overall, what are you seeing now versus that year ago period? And I'm just kind of thinking how this might impact some of the ancillary trends going forward.
Dale Asplund: Yes. Look, it's still early, Greg, in the year. And obviously, if we get a lot more weather across those southern markets, especially in the HOA communities, you could feel some headwind on the Land side just because people end up spending a lot more money on snow removal. Nothing we're alarmed of. I would go the opposite way and tell you, we've seen a lot of damage from ice, whether it's plant material dying or whether it's tree damage across the country. We've dispatched tree crews out to many markets to try to make sure we can service our customers who have tree damage. So I would say there's always the possibility of headwinds, but we're seeing existing tailwinds. So I would say it's still too early to say are we going to see any noise from that. Once we get to the end of the second quarter, and we know exactly how much snow we had and where it was, we'll update everybody. But the good news is the commitment we made to take care of our customers and get higher retention and create that relationship continues to promote them to turn to us to actually do more and more of their services. So Greg, we are positioned so well, still too early to say if there's going to be some noise, but I have no worry even if we have some noise, like Brett said earlier, we're going to hit our Land forecast that we gave you in November of growing 1% to 2%.
Operator: Gentlemen, we'll go next now to Andy Wittmann of Baird.
Andrew J. Wittmann: Slide 9, again, the contract book of business, 3 quarters up 2%, that's great. I just wonder like if there's some context here around like we're in the middle of winter right now. And I know that -- I guess, you guys have said that your selling season has become more of an all-year-round thing. But for those seasonal markets, I have to think that some of your customers are still thinking about what they want to do for the coming green season. So does the 2% more likely look better a quarter from now after you get through some of those people in the seasonal markets making the decision for the year? I'm just trying to understand if this is actually conservative, for lack of a better term, or if I'm making too much out of it.
Dale Asplund: No. I think, Andy, it's a great question. I don't think it's conservative because it's historic. So we're just giving you the facts of where we're at. You bring up a great question. We're starting to sell in our northern markets, even though it's a little bit of a challenge when you're getting as much snow as you're getting right now, but our customers are thinking about their April through October Land business. So absolutely, we sell Land contracts all year long. And I will tell you, even to Greg's question a minute ago, when we get additional needs for snow, it gives us the foot in the door to get those Land contracts, as we go into the summer. So Andy, to answer it a different way to say it's not conservative, we feel that momentum will continue to show on this slide. Our goal is not to say we've grown our book 2%. We think with the additional 80 resources we added in sales, we think of the 180 we've added over the past year, we feel great that we're going to continue to see momentum in this metric. Our goal is to keep adding resources to drive new contract book, and then, drive those customer-facing roles to drive all those ancillary services that those customers are going to need. So the teams in the field are very excited. Managing salespeople was a new thing to them a year ago, but now, they're all seeing the power of getting people out there, getting us new business so we can grow our business. And it's been a great journey, and I think 2026 will continue to show that momentum. Brett?
Brett Urban: I would just add, we continue to manage this business for the long term. The quicker we can get these sellers added, like we showed on Page 8 of the presentation, the more inflection we'll have on Page 9, the contract book. And we're starting to see those 60 sellers we added last April, May, June, starting to produce and be productive here in Q1 of 2026. So it takes a little bit of time. But as you think about the business, you think about the way we're managing it. The strategy really is, Andy, based on that long-term view of the business. And that's why we went as far as to put our 2030 goals back into this earnings presentation to show we're committed to getting there as quickly as possible. So yes, I agree with you. I couldn't be more excited about the progress we made on Page 9. Whether it's 2% or something north of 2%, we'll continue to kind of share that metric just to show the progression in that underlying contract annuity business that makes BrightView such an attractive investment.
Andrew J. Wittmann: I also wanted to ask about your IT tools. These have been some pretty big areas of investments that you guys have been making. Two of the bigger ones were around your HR IT system. I think that you guys are now -- have now gone live on a new system there. I think it was Workday that you put in. I want to know how that's gone, if there's been any disruption growing pains through that. And maybe even more importantly, though, I think you guys are now in the process of rolling out or more thoroughly rolling out your field management software that really kind of gives your guys the tools in the field for all sorts of different things. Maybe, Dale, could you just talk about how that's going? And how disruptive or not disruptive the field software is in particular?
Dale Asplund: Yes. I think it's a great question. I would say, first, let's start with the HRIS system. Our employees are our #1 asset, and we've got to make sure we've got visibility and ways to manage them. I think what that tool has given us is added benefit for all of our leaders and made their jobs easier. So from a transition, as we've started to migrate to that for visibility, and we'll continue to have phases, Andy, as we add different modules on to get away from the litany of IT systems we had and put it all in one system. But the field has embraced it. It continues to show benefit, and we'll continue to leverage the different modules as we go forward. On the field service side, that's one that is really starting to take way. We've seen continued progress. We have over 1/3 of our branches on it. Our initial goal was sometime late March, early April was to get all of our branches on field service. The branches that have been on it for 30 to 60 days are seeing benefit in creating capacity with their labor. So that's a positive thing that the teams that are using it to help route and define how many hours for each job it's creating capacity. And that's key for us because I want to use not it as a labor savings tool. I want to use it to create capacity. So as we're growing this business this summer, we have the ability to service customers with the resources we have today. Now, I would say this, Andy, we had a couple of branch managers send me an e-mail, and I'm always there to help them. Obviously, when you get as much snow in a couple of these markets and you have training scheduled, we pushed a couple of branches out because I recognize we've got to service our customers, and we just moved the training out for a few weeks, and we get our team to reassign a date. But we are making wonderful progress on both of those initiatives. And like we said, our IT investments were behind schedule several years ago. These are the first 2 in a litany of different technologies we can help grow our business. So we're enabling our field. We're giving them tools, and our goal is to long term help them be more efficient and spend more time with their customers.
Brett Urban: And Andy, I would just add, this is why it's so exciting, we have the balance sheet, liquidity and flexibility to do all these investments, which is fantastic, not only investing in our employees, in our customers, in our fleet, in our sales force, but also invest in technology. So Dale mentioned some of the tools that are rolling out, but that's all supported by the flexibility we have on the balance sheet, so we couldn't be more excited about the ability for us to grow the business, produce higher EBITDA than the year before and continue to invest back into the business.
Operator: We'll go next now to Stephanie Moore at Jefferies.
Stephanie Benjamin Moore: I wanted to circle back on maybe a question that was asked earlier, but I'm going to ask it a little bit differently. As you think about all of the success you've had thus far to start the year from the investment standpoint, obviously, the strong snow season, maybe just talk about the level of confidence you have in the guide, understanding it's obviously still early in the year and you need to get through your busy season? But I'm trying to understand what could maybe go wrong or in a more negative direction, which would make the guidance a little bit more difficult. So maybe downside scenarios that you guys walk through.
Dale Asplund: Yes. I think, like I said, I'll take it into some buckets. Obviously, snow, if we continue to add the volume of snow we saw in Q1 and we saw in January, that could create some delays in our ability to do Land Maintenance service here in the second quarter, especially when you're looking at markets that are getting extreme cold all the way down into Florida. I was out with my teams this week to start the day and dispatch our teams, and we had temperatures in the low 30s across Florida. So we could always get that, Stephanie, more snow. It gives us more upside in the Snow business we do, and then, it will give us some potential delays in our maintenance and our development business. But, all these storms and the ice damage across the country, I would flip it the other way. I feel like long-term, as we go into our busy season with the summer, we had equally as much opportunity to see ancillary grow faster because of the tree work, because of the plant damage that's going to occur because once we get out of winter, people will want to make sure their properties look good. So I feel like there could be some timing. There's no question that when you get as much snow as we've had over the first 4 months, it could create some noise in timing. But at the end of the day, I think there's going to be a lot of opportunity that comes out of a little bit rougher winter. And I think that even in the development business, okay, we're going to have some timing, like we saw in this quarter. Our 3 biggest projects that we're doing right now are all in the northern markets. We could have done more work with them if they weren't under snow for the majority of the quarter. So we feel great, Stephanie. I don't -- you say what risks do we have? We always have risks in every environment, but I feel our upside is greater than our downside right now.
Stephanie Benjamin Moore: That's very helpful. And then, maybe switching to capital allocation priorities, obviously, you noted that the M&A pipeline remains robust, but you also have been very active in share repurchases. So maybe just talk through as you evaluate both options, what's more for the near-term priorities, when we might expect to see M&A start again. Any color there would be great.
Dale Asplund: Yes. Great question. I'll start off, and I'll give it to Brett. I remind my senior leaders that you have to earn the right to do M&A by growing your own business before you've earned the right to buy somebody else's business. And my guys remind me of that all the time because they're all on the verge of seeing that business grow. So they're all reminding me it's time to get back into M&A. And you saw it. We had a strong quarter of share repurchase. We're buying our equity back at 7.5x at the price that we averaged in Q1. At 7.5x, we'd have a hard time getting a quality company like we have at BrightView for that multiple. We believe we've got a big robust pipeline, a quality company, so even if smaller is going to trade at 8 to 9x. Even if we get a turn on that based on synergies, we're still paying a price that some were higher than what we can buy our own shares back at. So we know the quality of company we have at BrightView. We recognize we're significantly undervalued. So we're going to keep -- and our Board approved us to upsize our share repurchase and get more aggressive. So we feel great about the investments we're making. It's real simple, invest in our people and our fleet, invest in buying our shares back, and then, do M&A. But Brett, do you want to add anything?
Brett Urban: No, I would just add that we're currently levered at 2.4x, essentially flat to where we were, very favorable debt structure, no long-term maturity in 2029. And we have plenty of liquidity, right around $0.5 billion to invest in the business of liquidity. So to your question, Stephanie, and Dale's point, I think on Page 14, we've tried to lay out our priorities very clearly. And I think we're executing on those priorities. We've executed on a fleet refresh that has essentially seen all of our core mowers get to our targeted average age. Almost all of our production vehicles, by the end of this year, we feel like they'll be at the average targeted age. And we have some work to do on trailers. But this year is probably going to be our last year of elevated CapEx in the business. We're going to run about 6.5%. And then, we'll come back down more to that 3.5%, 4% normal range as we get through our trailer refresh. But Dale said it well, buying a company comes with some inherent risk of integration and acquisition. And if our stock is going to trade at 7.5x multiple, definitely an accretive use of capital to buy our own shares. And look, we feel like we should be in the 10-plus multiple trading range. So when we get there, and this business is growing, and we get there, we get a re-rate, there's absolutely a tremendous amount of opportunity to go down the acquisition trail. And I will tell you that the pipeline we're maintaining here is significant. So we have a pipeline of potential targets. When the time is right, we'll be able to pull that lever fairly quickly.
Operator: We'll go next now to Jeffrey Stevenson at Loop Capital.
Jeffrey Stevenson: How should we think about the cadence of development revenue growth this year after the segment was negatively impacted by project timing in the December quarter? And then, has there been any change in the timeline of the 4 to 5 large projects you're working on compared with prior expectations? Or is that in line with what you were expecting when you gave guidance last quarter?
Dale Asplund: Yes. We feel great about the progress we saw from Q4 into Q1 for development. It's definitely swinging back. Is there timing differences? Jeff, yes, like Brett said in the script, when you've got a lot of those big projects up in the northern climates and you get the amount of snow, they still grew, but they could have grown more. We had more opportunity. Those projects will still hit our timelines. It's going to be about when we can recognize it. We feel great about what the customers are asking us to do, and we continue to work on them. So I'm not worried about the development business long term. We just got to stay on top of everything we're working on, take care of our customers, communicate to our customers and continue to keep driving forward with the development backlog, so we keep booking work each and every day.
Jeffrey Stevenson: Great. No, that's helpful, Dale. And sticking on the development business, I was wondering if you could provide an update on your cold start initiative and the timeline of that this year? And then, also, with the increase you've seen in the sales force, obviously, that's mainly on the maintenance side. But have any of the new hires been on your development business as well? And how will that help with growth over the coming years?
Dale Asplund: Yes. Look, I think it's a great question. We updated everybody that our goal is to get several new locations open for development. We have now opened 6 locations across North America that we're seeing green shoots out of. Some of it is markets that we traditionally did remote work in. So we had some development teams there that could do work. But Jeff, yes, about 10% of those new sellers in the quarter, that money that we spent went to the development team because our whole goal is when we add a location, make sure we've got a development sales rep out in the market to get us more and more work. So yes, it's about 10%-90% for that $6 million that we talked about spending in the quarter on sales resources. And we've got 6 of the locations that we've gotten stand-alone P&Ls that they're operating independently versus they used to be doing work remotely. So great progress there, and we're going to continue to keep our foot on the gas and grow as fast as we can with new locations.
Operator: [Operator Instructions] we'll go next now to Greg Parrish at Morgan Stanley.
Gregory Parrish: I'll just squeeze one in here. Maybe just help us think about snow margin, especially heading into the second quarter with how much we had, had in January, and we'll see how February, March play out. But how much of the snowfall so far is in fixed versus variable? And then, can you talk about the potential for some of these clients, as they move up in tiers, does that potentially add more margin upside in the Snow business in the second quarter?
Dale Asplund: Yes. Good question, Greg. I think, when you look at our -- we announced that we basically saw $3 million of improvement from the revenue in the quarter. If you digest that and you really break it down, you look at it and say $6 million of that incremental EBITDA came from that incremental snow revenue, where the shrinkage in development and land, there was about $2 million of negative EBITDA in land and $1 million in development giving us the $3-ish million of net benefit. I would say you were head on. So we've got a big portion of our contracts, where, especially in the northern markets, we went to more fixed tier pricing. Now, as much snow as we saw, the Chicago market saw 3x the normal snow up and from New Jersey up to Boston saw double the normal snow in the first quarter. All those, when we have fixed tier pricing, kind of limit the margin that we're going to have until we start triggering those additional tiers. As we trigger those additional tiers, it becomes more profitable. So we have always said our margin expectation on incremental snow is between 20% and 25%. We feel once we land the plane for the year and we exit Q2, we will be very comfortably in that range. I know Q1, $6 million of benefit on $36 million of revenue is slightly below that on flow-through, but we feel like a lot of that is just timing of how we see those fixed tier contracts. We continue to see more and more customers go to fixed tier, especially after a year like this because some of the markets on the fringe that traditionally took more risk and tried to go to time and material are probably going to want to go look at fixed pricing again, so -- but yes, we feel great. We feel that we're going to get added benefit as we go through Q2, maybe as much on revenue, but more on profit because we're -- right now, it's all about just taking care of the customer.
Operator: And ladies and gentlemen, that is all the time we have for questions this morning. At this time, I'll turn things back to Mr. Asplund for any closing comments.
Dale Asplund: Look, I want to thank everybody again, and I apologize. I know we still had some questions in the queue. I think it was a great discussion. And operator, thank you. But I'd like to close by reaffirming our confidence in the trajectory of the business, as we continue to work toward its transformation. Over the past 2 years, we fixed the foundation of this business, becoming a unified company and unlocking efficiencies to drive this business forward. All the while, we have started to reinvest back into our sales organization. I am beyond proud of how many resources we were able to add in the quarter, and we are going to benefit from them, not here in Q1, but throughout 2026 and position us for long-term growth. So to all the employees, thank you. Everybody continue to be safe. To all of our investors, thank you for taking the time to listen in today. Everybody, be safe, and we'll talk to you again at the end of the second quarter. You can now end the call, operator.
Operator: Thank you, Mr. Asplund, and thank you, Mr. Urban. Again, ladies and gentlemen, that will conclude today's BrightView conference call. Again, thanks so much for joining us, and we wish you all a great day. Goodbye.